Abel Arbat: Good morning, everyone. This is Abel Arbat speaking from the Capital Markets team at Naturgy. And we thank you for joining our results call for the first 9 months of 2025. Next to me sits the Head of Financial Markets and Corporate Development, Mr. Steven Fernández; and the Head of Control and Energy Planning, Ms. Rita Ruiz de Alda. As usual, we will begin with the presentation and leave Q&A for the end. Please submit your questions in written form, through the webcast platform during the presentation and we will address those at the end of the presentation. So without further ado, I'm going to hand it over to Steven to start off on the presentation.
Steven Fernández: Thank you, Abel, and good morning, everyone. As you have seen this morning, this presentation is basically divided into 3 main sections that we're going to go through. Firstly, we're going to review the results for the first 9 months of the year. Then we're going to give you a little update on the reestablishment of the company's free float following recent moves. And finally, we're going to give you some glimpses into the outlook for the remainder of the year 2025. If we move over to the results, the key highlights that we'd like to discuss basically, as you can see, we've had an overall robust operational performance amid a challenging and uncertain geopolitical backdrop. We are, as a result of that performance, on track to deliver on its 2025 guidance, building again on a track record of commitment and delivery. On the capital markets front, we have increased the free float for the company and subsequently, the share liquidity, positioning us to return to the MSCI indexes. As a reminder, the free float for the company has increased from 10% to almost 19% in record time and preserving value for shareholders. As a result of this effort, as I mentioned previously, liquidity has improved, and the monthly average trading volumes are up 2x versus the first half of the year. Our solid balance sheet also continues to provide flexibility and optionality. And we also remain committed to an attractive shareholder remuneration. As a reminder, the second 2025 dividend of EUR 0.60 has been approved by the Board, and it will be payable on November 5 on track for a minimum annual total DPS of EUR 1.7 per share. If we move over to review the results, what you can see is that average Brent prices were 14% lower in the first 9 months of the year compared to the same period last year, decreasing from $83 to $71 per barrel. In contrast, natural gas prices increased across key benchmarks. For example, the TTF was up 26%, the Hub up 58% and JKM up 17%. Hence, we have witnessed a decoupling of gas and oil indexes during the period. Geopolitics also weighed on energy markets during the first 9 months of the year, although volatility has thankfully gradually eased in recent months. Iberian electricity pool prices for its parts showed an increase from EUR 52 per megawatt hour in the first 9 months of 2024 to EUR 63 per megawatt hour in the first 9 months of this year, mainly driven by higher demand for gas-fired generation in the period, along with higher gas prices. As a result of this scenario, we take a quick look at the results for the period. EBITDA amounted to EUR 4.21 billion. Net income amounted to almost EUR 1.7 billion. A reminder that the dividend that we have paid so far this year amounts to EUR 1.1 billion and net debt for the group amounts to EUR 12.9 billion, which, by the way, does not include the proceeds from the bilateral sale and subsequent total return swap we have entered into. The results, therefore, maintained record levels while delivering on shareholder remuneration and maintaining a strong balance sheet. As we will review in the coming pages and especially with the help of Rita, during the third quarter of 2025, market trends and business dynamics have remained broadly in line with those that we had seen in the first half of the year. Moving over to the income statement. EBITDA remained in line with last year, although 2025 shows stronger underlying results as it does not include relevant extraordinary items contributing to it as 2024 did. And in terms of EBITDA contribution by business, 49% was generated by networks and 51% by energy management, generation and supply. In terms of activities, you also see a balance here with 54% of the EBITDA being generated by gas with the balance from electricity. And again, in terms of the geographical diversification, a little bit more than half of the EBITDA generated in Spain with the balance coming from all our other operations abroad. The group's diversification across businesses, activities and geographies continues to support its earnings resilience. And the way of its regulated activities provide us with cash flow predictability. So all in all, the earnings were [ 6% ] higher compared to last year in the period, reaching almost EUR 1.7 billion. If we turn over to the cash flow, free cash flow after minorities reached almost EUR 2.2 billion, demonstrating strong cash flow generation for the first 9 months of the year. In this period, the company invested EUR 1.2 billion, roughly of which 45% was allocated to networks, 35% to renewables and the balance of the business accounting for 20% of these investments. This growth -- this shows greater focus on the networks CapEx versus renewals compared to 2024 and is aligned with the company's financial discipline. Also note that EUR 169 million of hybrids were amortized during the period, which means only EUR 330 million of hybrids remain outstanding. We will continue to follow a strict financial discipline, deploying capital to ensure value creation on our investments. As a reminder, we believe in value over size. So all in all, strong cash flow in the period to back investments and shareholder remuneration, as you can see. But if we then turn over to the net debt, you can see that the balance sheet remains strong, actually stronger than we had anticipated. In April and July, Naturgy distributed its 2024 final dividend and first interim dividend for 2025, respectively, both of them in cash at EUR 0.60 per share for a total of EUR 1.1 billion spent year-to-date. In June, the company also completed a EUR 2.3 billion tender offer on our own shares. And already in August, we were able to undertake a successful placement and return 2% of its capital to institutional investors in addition to 3.5% to a financial institution with whom we have signed a TRS. This places net debt as at the end of September 2025 at EUR 12.9 billion with a comfortable net debt to last 12 months 2025 EBITDA of [ 2.4x ]. Moreover, as you have seen, in October, the company also managed to undergo a second placement of treasury shares amounting to 3.5% of the share capital, which will be reflected in the net debt figures as of the year-end. The cost of debt remains at around 4%, while the percentage of fixed rates has decreased to roughly 66% in the lower interest rate environment. So all in all, you can see we have a strong balance sheet with low leverage post recent capital market transactions and free float increase that provides the company continued flexibility and optionality. And with that, I'll hand the turn over to Rita, who will go over the businesses.
Rita de Alda Iparraguirre: Thanks, Steven, and good morning, everyone. Starting with Networks on Page 10. Networks reported a total EBITDA of EUR 2,098 million in 2025, representing an 8% decline when compared to 2024. This decrease was primarily driven by one-off positive impact in Chile last year and the depreciation of several Latin American currencies, most notably the Argentine peso. In Spain, Gas Networks experienced a remuneration adjustments foreseen in the current regulatory framework as well as increased demand in residential segment due to temperature effects. As highlighted in our latest results presentation, a public consultation was launched in July targeting companies in the sector and marking the start of the regulatory review process for the 2027-2032 period. In line with the regulatory calendar, a draft proposal is expected to be published by year-end or early 2026. In electricity, EBITDA increased driven by higher regulated asset base and the publication of the 2021 and 2022 definitive remuneration as well as retroactive impacts. The CNMC has already published a second draft of the resolution of the new regulatory scheme for the 2026-2031 period and the companies in the sector have already sent validations. In Mexico, results mainly impacted by negative foreign exchange effects compensated by tariff updates in July. In Brazil, results were also affected by currency depreciation. In Argentina, EBITDA has improved following a substantial tariff increase implemented in 2024 to offset inflation. At the same time, we are observing a rising trend in FX volatility, largely driven by electoral milestones. As mentioned in July, a new tariff review was approved for the 2025-2030 regulatory period, in line with our strategic plan estimates. This new regulatory review provides visibility to 2030 and includes monthly inflation adjustments within a stable regulatory framework. In Chile, performance declined when compared to last year due to an extraordinary effect in 2024 as the partial reversal of the provision related to TGN conflict. As we already mentioned in the last presentation, this legal process is now officially closed due to an agreement between both parties. In Panama, results were negatively affected by lower demand due to temperature effects and increased operating expenses from higher maintenance activity to improve quality standards. In summary, comparison is affected by extraordinary impact in 2024 and currency depreciation in Lat Am. Now turning to energy management on Page 11. EBITDA reached EUR 718 million, which shows an increase versus 2024 of 18%, mainly due to higher margins on hedge sales. On average, European gas prices were 26% over 2024 levels. As mentioned during the strategic plan presentation, the group is fully hedged for 2025, having adopted an active risk management approach in the context of high volatility and uncertainty. The figures already reflect current market conditions for gas contracts in 2025, while negotiations with Sonatrach are still ongoing. The group is continuously evaluating new gas sourcing opportunities to complement our portfolio as we consider natural gas, a key enabler, for the energy transition. Finally, last week, the EU formally adopted a prohibition on the purchase import or transfer of LNG exported from Russia into the European Union. The prohibition will be effective starting in January 2027 in the case of long-term gas contracts, such as the one which Naturgy holds with Yamal. Overall, the period benefited from effective hedging and diversified procurement portfolio. Continuing with thermal generation, EBITDA reached EUR 523 million, 22% over 2024 EBITDA levels due to higher activity in Spain, partially offset by lower revenues in Lat Am. In Spain, the increase in results was supported by higher demand for ancillary services from our combined cycle fleet. Naturgy holds the largest CCGT fleet in Spain with 7.4 gigawatts, acting as a backbone to energy security of supply. In Mexico, production and margins remained stable. However, revenues from availability markets declined, mainly due to exceptionally high revenue base in 2024. Overall, CCGTs continue to play a key role to ensure system stability. Let's turn now to renewable generation on Page 13. Renewable generation reached an EBITDA of EUR 452 million during the period, slightly above 2024. Spain renewable generation production was 8% lower when compared to 2024, mainly due to lower wind and hydro generation, given the exceptionally high levels of hydro production in our basins during 2024. This negative impact was partially offset by the commissioning of new installed capacity and higher electricity prices. In the United States, results are higher when compared to 2024, mainly due to higher energy prices. The group completed construction of its second solar plant in Texas, which has recently started operations. In Lat Am, activity continues with impact due to currency devaluation in Mexico and Brazil. And finally, in Australia, performance benefited from the additional installed capacity added when compared to 2024. All in all, higher results in renewable generation due to commissioning of new capacity and selective growth prioritizing value over size. Last, moving to supply. EBITDA has been EUR 500 million, a 16% lower when compared to 2024. It is important to remember that in 2024, we had an extraordinary impact due to the positive ruling in favor of Naturgy regarding tariff subsidies. Leaving this aside, the business performed relatively stable when compared to last year despite incremental margin pressure and competition. As margins have shown resiliency supported by higher visibility on procurement costs, but negatively affected by regulated tariffs. In terms of electricity, the group has expanded its client portfolio in a highly competitive environment, leveraging on its integrated model and diversified generation mix, however, impacted by increasing adjustment services costs. I will now pass the floor back to Steven to update you on the free float and outlook.
Steven Fernández: Thank you, Rita. So I'll take you really quickly to Slide 16. Naturgy has increased its free float to return to the MSCI indexes. On the 24th of June of this year, as I mentioned previously, we successfully completed a voluntary partial public tender offer to repurchase up to 9.1% of our share capital aimed at restoring the company's free float and enhancing share liquidity. The offer targeted 88 million shares, again, 9.1% share capital at a price of EUR 26.50 per share, totaling EUR 2.3 billion. All reference shareholders participated in the tender, reducing their shareholdings, as you can see in the right-hand side of the page. Aligned with the strategic plan '25-'27, our objective was to reintroduce the repurchase shares into the capital markets to improve free float and liquidity. And to this end, we executed a series of transactions this year. On the 4th of August, we completed an ABB of 2% of the share capital. We signed a bilateral sale and executed a bilateral sale for 3.5% of the share capital to an international financial institution. Both transactions were priced at EUR 25.9 per share, reflecting the tender offer price adjusted for the EUR 0.60 dividend paid on the 30th of July and thereby preserving shareholder value. On the 7th of October, just a couple of weeks ago, we also completed a second ABB for 3.5% of the share capital. Following these transactions, Naturgy's treasury shares now represent approximately 0.9% of the share capital and our free float has increased to almost 19% versus 10% in the previous year. Through the disposal of approximately 9% of our shares and the reduction of reference shareholder stakes, Naturgy has reaffirmed its commitment to enhance share liquidity and increased free float, which are, as you know, key steps towards inclusion in major stock indices, particularly those of the MSCI families, where on the following weeks, specifically on 5 November of this year, we'll hopefully have some good news. these transactions were overall executed swiftly and at a value-preserving terms for shareholders, hence, delivering a key strategic plan objective in record time. If we move over to Slide 17, and we look at the share price and the liquidity evolution, share price remains above the levels at which the tender offer was launched, considering the dividend of EUR 0.60 paid in July. And liquidity has substantially improved with monthly average daily trading volumes of around 2x the volumes in the first half of the year. So in essence, we have managed to increase the free float and liquidity, reducing the holdings of our reference shareholders as intended while preserving shareholder value. And all of this has been achieved in barely 4 months. If we look at the rest of the year now, in terms of the energy outlook for the -- the current market forwards are anticipating a generally less favorable energy scenario for the TTF in the last quarter compared to the first 9 months of the year, but still maintaining levels of around EUR 32 per megawatt hour. On the other hand, market forwards for Iberian electricity pool prices are pointing towards average levels of around EUR 72 per megawatt hour, above the 9M '25 numbers, but below the comparable period in the fourth quarter of last year. Finally, Brent prices are expected to remain just below $70 per barrel, while CO2 prices are expected to remain fairly stable. So in essence, the current energy outlook and market forwards are aligned with our expectations and the basis of our guidance for the year-end. Indeed, when you think about the guidance, we are on track to deliver our 2025 numbers. After the results presented today and the perspective for the remaining of the year, we are obviously in a position to reaffirm this guidance for EBITDA, for net income, for DPS at a floor of EUR 1.7 per share and improving our net debt outlook from an expectation of a little bit less than EUR 14.7 billion to approximately EUR 13 billion by year-end as a result not only of the good performance of the businesses, but also as a result of the placements in the treasury stock. Our short-term priorities, however, remain unchanged. If we look at them on Page 21, for networks, we are looking for a final regulatory framework for electricity networks in Spain. We are proactively engaging regulators for Nedgia, so that's gas distribution and negotiation of extension in concessions in Lat Am, Brazil and Panama. We are continuing to advance in our OneGrid initiative, which implements operational best practices across geographies. In energy management, we maintain gas procurement contracts aligned with market conditions, continue to assess, as Rita mentioned, new gas procurement opportunities as a key energy transition enabler. And we are proactively managing the risk both through physical and hedging alternatives. In thermal generation, we continue to look for capacity payments. We continue to play a key role in the security of supply through flexible generation in all the markets where we operate. And we are engaging in the initial discussions for PPAs extensions in Mexico. In renewables, we continue to look at selective renewable growth, and that's basically focused on repowering, hybrids and batteries. And we continue to execute our ongoing developments. In renewable gases, we continue to ambition leading the biomethane in Spain. We have more than 70 projects under development currently. We are promoting networks injection and adequate regulation. And as a result of that, you can imagine that we are actively engaging all authorities to make sure that this is a viable alternative for the energy transition. Finally, in supply, we continue to look to grow our client base and continue to evolve our operating model, deepening our excellence in client service and maintaining a balanced integrated position. As you can see from the slide, we remain fully committed to executing on our strategic plan. So finally, to conclude before opening up the floor for questions, we are proud, we are happy to report a strong performance achieved amid a backdrop of macroeconomic uncertainty. This resilience reflects the solid fundamentals of our businesses and the effective execution of our strategic priorities and the hard work of all people from Naturgy. We are on track to deliver our 2025 guidance, building on a strong track record of commitment and delivery. We have increased the free float and liquidity to return to the MSCI indexes, delivering a key strategic plan objective in record time and at value-preserving terms. We retain a strong balance sheet, providing the company flexibility and optionality. And we continue to deliver on our DPS commitment of a floor of EUR 1.7 through the payment of a second interim dividend of EUR 0.60 payable on the 5th of November. And with that, happy to conclude our presentation and open to answer any questions you may have.
Abel Arbat: Thank you, Steven and Rita for the presentation. So let's start responding to the questions received through the webcast, and we're going to start touching on a few generic or more strategic questions before getting into the business questions. So the first set of questions relates to the current balance sheet flexibility and what are our strategic priorities around this. What would be the preferred route to deleverage at the moment, either deploying M&A, increasing shareholder remuneration, maybe additional share buybacks or a combination of the above?
Steven Fernández: Thank you, Abel. I mean, it's a wonderful problem to have. A company with a solid balance sheet that provides flexibility, and I highlight optionality. So the best way to answer this question is we have a strategic plan that goes from '25 to '27. We're going to stick to this plan. We're going to meet the targets in this plan. This plan does not contemplate inorganic growth, and it contemplates investments that have been disclosed to the market that provide shareholders in Naturgy with value creation. If market conditions change and we are in a position to identify more organic growth opportunities that continue creating value for shareholders, and obviously, accelerating that organic growth could be an option. Alternatively, if opportunities present themselves for inorganic growth that makes sense, that could also be an optionality that we will explore. But I think the most important point is, again, to highlight our strategic plan does not contemplate external growth and it contemplates organic growth that focuses on delivering value as opposed to gaining footprint or size.
Abel Arbat: Thank you, Steven. And in this context, would the company consider any further measures to increase the liquidity similar to the ones that we have executed in recent months?
Steven Fernández: The company has a treasury stock position right now of 0.9%. Look, I mean, we're in no rush to deliver that to the market. We'll do that when and if the conditions are right at a time of our choosing. What I would say is that having done the bulk of the work, that 0.9% is not really going to move the needle.
Abel Arbat: Thank you, Steven. Then there are a few questions around our portfolio of businesses. And if we think that there is anything that we consider noncore or that do we have any plans for portfolio optimization in Lat Am. Again, I think that Steven already mentioned that the plan is only based on organic growth, but do you want to...
Steven Fernández: So the plan does not contemplate disposals or sizable disposals. We have taken quite a bit of time to review our existing portfolio, are satisfied with the positions that we have. We see potential in the countries where we operate in Lat Am, and we have no intentions at this stage in rotating assets.
Abel Arbat: Perfect. Moving on to a more specific question around free cash flow. There's a question around the positive working capital contribution in the 9 months 2025 and whether or not do we expect any reversal of that positiveness into Q4?
Rita de Alda Iparraguirre: The evolution of the working capital in the company is normally influenced by seasonal demand patterns, fluctuations in energy prices and also the negotiation of gas contracts with our suppliers. In this case, working capital evolution is strongly affected by balanced regularizations with our gas procurement suppliers in 2024 and 2025. We could expect partial reversal of our working capital in the future according to contract agreements.
Abel Arbat: Okay. Thank you, Rita. Moving now on to various questions on each of the businesses. And I'm going to start with Networks and Networks Spain and particularly Spanish electricity networks. There are a number of questions around the second regulatory proposal, how it compares versus the current one, what's our opinion on its attractiveness, the treatment on OpEx and so on and so forth. So perhaps we could give high-level view on the topic.
Rita de Alda Iparraguirre: Yes. Well, as probably everyone knows, the CNMC has already published a second draft of the resolution of the new regulatory framework covering the 2026-2031 period and companies in the sector have already submitted their comments. The published proposal introduces a shift to a TotEx-based remuneration model, along with an adjustment factor linked to increasing contracted power. The second proposal reduces OpEx cut, but still fails to incentivize efficiency and instead penalizes the most efficient operators. Moreover, the proposed methodology does not incentivize reaching the investment volumes outlined by the ministry, which are necessary to achieve decarbonization goals. We expect a final resolution before the end of the year.
Abel Arbat: Thank you, Rita. So Again, a number of questions on how this proposal on electricity distribution in Spain could affect the upcoming regulatory review in gas distribution. So could we share our views on the Spanish gas networks' upcoming regulatory review? Do we have any visibility? Do we expect any changes in the current methodology and parametric formula?
Rita de Alda Iparraguirre: Okay. So the CNMC indicated that the first draft of the remuneration methodology should be ready by the end of 2025 or beginning of 2026. From our point of view, continuing with the parametric model would be a sizable option to provide stability and predictability to the sector with appropriate adjustments to reflect the exceptional inflation of the current period. Furthermore, we see this new regulation as an opportunity to incentive new renewable gases, smart metering and also to bet for the decarbonization of the gas network.
Abel Arbat: Thank you, Rita. Okay. So now moving on to Networks Lat Am. There are a few comments around the FX headwinds that we've experienced this year. And how this is expected to impact the company going forward and also with a view of the EUR 3 billion target by 2027.
Rita de Alda Iparraguirre: So in terms of the developments in Lat Am networks, I would say that we have 3 main priorities. The first one that is the most important is obviously the negotiation of the concessions in Brazil in 2027 and Panama in 2028, as Steven mentioned before. Second, obviously, we are also -- one of our key priorities is to manage regulatory management that -- so we aim to obtain fair tariff reviews and also inflation updates to compensate for inflation -- for depreciation rates. In the case of Argentina gas, as I mentioned before, the new tariff review published this year includes monthly adjustment inflation, which is an important milestone for us. And additionally, we continue to focus on what we call OneGrid initiative, which consists of sharing implemented operational best practices across geographies in order to position Naturgy as best-in-class operations and continued efficiency gains.
Abel Arbat: Thank you, Rita. We move now on to the questions around our liberalized activities. And in particular, there are a few questions on energy management. So perhaps starting on what's our expectation for energy management margins in Q4 and also what's our outlook for gas prices and spreads going forward? Can we comment on our hedging levels and the key drivers going forward?
Rita de Alda Iparraguirre: So forecast for the upcoming winter indicates a moderate price environment for gas in Europe, mainly driven by adequate underground storage levels. We have an 83% storage levels currently in the European Union and the absence of major changes in the global LNG demand market, particularly due to declining demand from China in the last months. However, main price drivers will be more linked to winter temperature trends, demand requirements for power generation and potentially geopolitical developments we've seen in the past. In this context, the company will actively optimize both physical sales and financial hedging to manage its risk exposure and the underlying scenario. Likewise, negotiations with Sonatrach for 2025-2027 gas procurement prices are ongoing with -- to maintain gas procurement contracts aligned with market conditions.
Abel Arbat: Thank you, Rita. Then a few questions on the recently approved ban of importing Russian gas into Europe. And the questions primarily relate to any contingency or breach of contract risk. Then there is also questions around the margin contribution from our contract from Yamal and possible replacement alternatives to that contract.
Rita de Alda Iparraguirre: So yes, on Thursday, the European Council officially approved the 19th sanction package, which includes a ban on Russian LNG imports effective in January 2027 for long-term contracts. The European Commission is working to provide a legally sound and effective toolkit for companies to achieve the targets avoiding legal problems. While the contribution from the affected contract relevant for Naturgy is 35 [ kilowatt ] hour per annum. The impact is expected to be mitigated through our diversified gas portfolio and access to market purchases. As we mentioned during the presentation, we continue to assess new gas procurement opportunities as we are confident that natural gas and LNG constitute a key energy transition enabler in the future.
Abel Arbat: Perfect. Thank you, Rita. Now a few questions on Spanish thermal generation, in particular, around the contribution of flexible generation or CCGTs in the context of higher demand and production in ancillary services. Do we expect this contribution to be sustained over time? What is the run rate that we expect for 2026? And if we can comment as well on our expectation for capacity payments and whether we have more visibility on this process?
Rita de Alda Iparraguirre: Okay. So we expect more visibility on capacity payments and its design in the coming months. However, at the moment, there are no further indications on the matter. What is clear is that CCGTs continue to play a key role in the current environment, and we don't expect this to change in the near or medium term. The reinforced operating mode translates into higher demand and production in ancillary services that warranty the system stability and the security of supply. However, the launch of capacity payments, the incorporation of new batteries or the development of new infrastructure will obviously influence how restrictions are allocated in the future.
Abel Arbat: Thank you, Rita. A question as well on data centers and what is our role? Do we see opportunities in the data center and how Naturgy is positioned to take advantage of the data centers build.
Steven Fernández: So I mean, thank you, Abel, for the question. We are exploring opportunities that data centers present in Spain, namely through the procurement of energy and specifically on some of the sites that we have available, which are generating interest from international players with whom we are in the process of engaging discussions to see how we can work together. What I can tell you is that the model that we are pursuing is not one where the company will take up equity stakes in the data centers themselves or the data center projects themselves, but where the company will be in a position to provide access to the grid and provide electricity as demanded by the investors.
Abel Arbat: Thank you, Steven. Now there's a question in renewable gases. What level of capacity is being developed? When we think these projects will start to see commercial operation dates? And what's our view in terms of what is needed for this business to take some speed and start gaining some critical mass? Can we comment on that, please?
Steven Fernández: So look, what I would say is that this is a key area that we are developing right now, although admittedly not at the pace that we would like. We see renewable gases as a key solution for hard-to-abate businesses. They can already benefit from existing infrastructure. So we don't have to build brand-new infrastructure like in the case of hydrogen, for example. And by the way, when we say renewable gases, we mostly mean biomethane. So what the team has been doing so far is developing agreements and joint ventures with a number of other developers that provide us with access to good locations, good sites, which is our first process among a series of other processes, including the procurement of feedstock, et cetera. That will allow the company to jump-start its operations once we have adequate regulation that supports the development of biomethane in place. And therefore, the team is not only paying attention and spending time in identifying sites and signing agreements, but also in lobbying and explaining to the government and the regulator why it's important to develop a biomethane regulation that allows for the high-speed development and deployment of all the CapEx potential. So as a reminder, the strategic plan contemplates initial CapEx for biomethane, but the bulk of the CapEx, the way we look at it based on our assumptions, falls outside of the scope of the strategic plan. So it's highly unlikely that you will see very significant CapEx being developed or deployed before the end of year 2027.
Abel Arbat: Thank you, Steven. Okay. So there are a few questions as well around the supply business. There is some margin construction in the recent quarter. So the questions relate around the outlook for energy prices and margins in gas and power supply in Spain and what are the repricing dynamics and so on and so forth.
Rita de Alda Iparraguirre: Okay. So generally, the sector is experiencing, as you mentioned, high levels of competition and churn ratios in both gas and electricity. In the electricity segment, the group has expanded its client portfolio in a highly competitive environment. However, churn rates still remain high across the sector. In the gas segment, margins have remained resilient, supported by improved visibility on procurement costs, but negatively affected by regulated tariffs. Looking ahead, we expect margins in both gas and electricity to remain solid, leveraging on our integrated position. And we also anticipate maintaining or even growing our customer base, continuing the positive trend of serving electricity during the year. Additionally, the group is improving customer service and operational efficiency, thanks to the new digital platform.
Abel Arbat: Okay. Thank you very much, Rita and Steven. I think that broadly concludes the questions received. There are a few more detailed and quantitative questions that the team will address subsequent to the call. And other than that, thank you very much for joining the results presentation, and we remain at your disposal for any additional questions you may have. Thank you so much.